Operator: Good day, ladies and gentlemen. And welcome to the eBay Q2 2018 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to introduce your host for today’s conference, Mr. Selim Freiha, Vice President of Investor Relations. You may begin Mr. Freiha.
Selim Freiha: Thank you, Operator. Good afternoon. Thank you for joining us. And welcome to eBay’s earnings release conference call for the second quarter of 2018. Joining me today on the call are Devin Wenig, our President and Chief Executive Officer; and Scott Schenkel, our Chief Financial Officer. We are providing a slide presentation to accompany Scott’s commentary during the call. All revenue and GMV growth rates mentioned in Devin and Scott’s remarks represent FX-Neutral year-over-year comparisons, unless they indicate otherwise. This conference call is also being broadcast on the Internet, and both the presentation and call are available through the Investor Relations section of the eBay website at investors.ebayinc.com. You can visit our Investor Relations website for the latest company news and updates. In addition, an archive of the webcast will be accessible for 90 days through the same link. Before we begin, I’d like to remind you that during the course of this conference call, we will discuss some non-GAAP measures related to our performance. You can find the reconciliation of these measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. In addition, management will make forward-looking statements that are based on our current expectations, forecasts and assumptions, and involve risks and uncertainties. These statements include, but are not limited to, statements regarding the future performance of eBay Inc. and its consolidated subsidiaries, including expected financial results for the third quarter and full year 2018 and the future growth in our business. Our actual results may differ materially from those discussed in this call for a variety of reasons. You can find more information about risks, uncertainties and other factors that could affect our operating results in our most recent Annual Report on Form 10-K and subsequent quarterly reports on Form 10-Q, copies of which may be obtained by visiting the company’s Investor Relations website at investors.ebayinc.com or the SEC’s website at sec.gov. You should not rely on any forward-looking statements. All information in this presentation is as of July 18, 2018, and we do not intend and undertake no duty to update this information. With that, let me turn the call over to Devin.
Devin Wenig: Thanks, Selim, and good afternoon, everyone. In Q2, we continued to execute our strategy, improving the core eBay experience, investing in service and clarifying our brand, while pursuing significant opportunities in advertising and payments. Total GMV was up 7% and revenue was up 6%, while active buyers grew 4%. With the addition of buyers from our recent acquisition in Japan, we now have 175 million active buyers. GMV in our Marketplace platform grew at 7% year on year with U.S. Marketplace GMV growing at 6% while international GMV grew 7%. Our StubHub platforms grew volume at 5% and our Classified platforms grew revenue at 10%. Finally, we repurchased nearly $1 billion -- we returned nearly $1 billion to our shareholders through our share repurchase program and we closed our acquisition in Japan. While we delivered strong earnings growth this quarter, we encountered some revenue headwinds from foreign exchange and weaker StubHub event landscape, which will put pressure on our revenue for the second half. In addition, while core Marketplace GMV growth remains steady we do not expect some of the key initiatives to deliver GMV acceleration until later in the year. None of this changes our strategy and approach, and we expect to deliver core GMV growth acceleration in the second half of 2018. We are focusing to an even greater extent on initiatives that will have the greatest impact on our customers and our business, including further scaling product based commerce, Guaranteed Delivery and our new C2C selling flow while launching a series of innovative new buyer experiences. At the same time, we are stopping work on less critical projects that are not moving the needle or are more speculative. Now let me update you on some of the progress we made in Q2. We continue to build on our structured data efforts including our new product based commerce experience. We have added 12 product lines representing roughly 3% of GMV to a fully product based experience and we plan to expand this to more branded high velocity products in the second half. Users that are new to eBay are responding well to product based commerce with improved conversion. However, this is yet to translate to our existing active buyers and we will continue iterating on this experience until we see those conversion gains across most of our base. We continue to scale Guaranteed Delivery in the U.S. and we recently launched in Australia. We exited Q2 with nearly 300,000 sellers and 80 million live listings in the program, both significant increases versus the prior quarter. In the quarter, Guaranteed Delivery purchases represented 5% of volume and with 95% order delivery accuracy. Within our broader advertising efforts, promoted listings continued its strong growth trajectory. We launched several enhancements in Q2, including a new item recommendation tool to guide sellers on which inventory they should promote. We now have over 300,000 sellers promoting over 150 million listings, leading to revenue growth in excess of 150%, offsetting declines in non-strategic third-party advertising. We are also adding first party services recently launching Highline search ads, which enables sellers to bid for better placement from the top of search results. Finally, we are seeing minimal disruption to date from GDPR to our third party advertising revenue in Europe. Ensuring our users have access to great customer service is an important priority for us. We continue to scale our premium service offering Concierge to more top buyers and sellers. Customers with access to this offering show high satisfaction and are driving higher buyer and selling activity. We recently launched a program aimed at new buyers using proactive outreach whenever we see an issue with a first purchase. We are also simplifying and modernizing our self service platforms with an entirely new AI based experience now live in the U.S., U.K., Germany and Australia. And we are moving more of our customer service roles in house with hundreds of new eBay service jobs hired over the last year, reducing our reliance on outsourced roles. We continue to advertise our brands to drive awareness and consideration of eBay this quarter. While our brand campaign has been well-regarded externally it’s not yet materially moved the needle on consideration, which is key to driving new buyer acquisition. We will be back in market with new advertising campaign this quarter, while also activating multiple marketing channels in the second half of the year to drive traffic in buyer activity. Finally, we are making good progress on building our managed payment service. We recently announced that Steve Fisher, our CTO has moved roles and will now focus solely on delivering this critical initiative for us. Product development is well underway and we expect to launch an internal beta next week. We have also identified the sellers who will be invited into the initial phase of our new payments experience this fall and we are looking forward to sharing additional plans in this area with our sellers at eBay Open next week. Looking at StubHub Q2 saw strong NBA and NHL performance in the U.S. and continued strength internationally, offset by a softer event landscape in our three largest genres, concerts, theater and Major League Baseball. We expect StubHub to continue to face these landscape challenges in the second half of the year. And Classifieds delivered another quarter of strong growth driven primarily by our platforms in Germany. Before I close I’d like to address the Supreme Court decision on Internet sales tax. In the recent South Dakota versus Wayfair ruling the court left undecided some significant issues such as what constitutes substantial Nexus requiring an out of state seller to collect sales tax. The court did make clear that state tax laws must provide protection for small sellers. We do not currently anticipate any material impact on our business in 2018. Beyond that any impact will depend upon a number of factors that will take time to play out, including whether the federal government preempts the states or otherwise enact legislation to protect small business, as well as the effect on states that enact Marketplace collection obligations. In the Supreme Court case South Dakota set a small business exemption threshold of $100,000, which we believe is far too low for states that are more populous. However, hypothetically if that threshold were applied to each individual state, approximately 80% of our GMV would be excluded from sales tax. You can expect us to continue to work with our community and Congress to urge lawmakers to provide clear tax rules with a strong small business exemption that will allow our sellers to continue to grow and flourish. Regardless of how it plays out eBay sellers currently have the ability to collect applicable taxes on their eBay transactions, and we will have the capability to collect and remit sales tax on behalf of our sellers should that become a requirement. In summary, we continue to make progress improving the eBay customer experience. While the first half of 2018 has brought some unanticipated challenges that I outlined earlier, we expect core acceleration in the second half while delivering very strong earnings growth. Now let me turn it over to Scott to provide more details on our quarterly financial results and on our outlook.
Scott Schenkel: Thanks Devin. Let’s begin with Q2 performance starting on slide four of the earnings presentation. In Q2, we generated $2.6 billion of total revenue, $0.53 of non GAAP EPS, $188 million of free cash flow and we repurchased approximately $1 billion of our stock. Finally, in the quarter, we closed the acquisition of Giosis Q10 program platform, which expands eBay’s footprint in Japan. Moving to active buyers. In the quarter we increased our total active buyer base to 175 million including 3 million buyers from our Japan acquisition. Our trailing 12-month growth was stable at 4% including our new Japan buyers on a pro forma basis. Growth excluding Japan was 3% down one point versus the prior quarter due primarily to the lapping of new buyers from fidget spinners in the prior year. Scaling of new user experiences and our broader marketing programs will continue to be a key area of focus to drive more active buyer growth. On slide six, in Q2, we enabled $23.6 billion of total GMV, up 7%. The U.S. generated $9.3 billion of GMV, up 5%, while international delivered $14.4 billion of GMV, up 7%. Moving to revenue. We generated total net revenues of $2.6 billion up 6% on an FX-Neutral basis and up 6% organically, both down one-point versus the prior quarter. As Devin mentioned, we encountered unexpected headwinds from a weaker events landscape for StubHub and a stronger U.S. dollar, which more than offset revenue from our Japan acquisition. We delivered $2.1 billion of transaction revenue, up 7% and $563 million of Marketing Services & Other revenue up 5%. Turning to our Marketplace platform on slide eight. GMV grew 7% in Q2, flat versus the prior quarter, including approximately 60 basis points driven by the Japan acquisition. U.S. GMV grew 6%, decelerating 1 point quarter-over-quarter due to lapping C2C growth in the prior year and the impact of a stronger U.S. dollar on exports. International GMV accelerated 1 point to 7% driven by the addition of Japan. Total Marketplace’s revenue was $2.1 billion up 6%. Transaction revenue grew 7% with promoted listings contributing roughly a point of growth. Transaction take rate is slightly lower year-over-year due to hedging activity recognized in net revenues and some mixed pressure from growth of lower take rate categories, offset by reduced seller incentives and strong promoted listings growth. Marketing Services & Other revenue grew 2%, a deceleration of two points versus the prior quarter as we continue to reduce non-strategic third-party ad placements in favor of promoted listings. Moving to slide nine. StubHub GMV grew 5% year-over-year, decelerating eight points from Q1 while revenue grew 3%, decelerating six points, reflecting a softer event landscape. Moving to slide 10. In Q2, Classifieds grew revenue 10%, flat versus Q1. We continue to see strong performance from Germany and our Motors platform, while managing advertising monetization pressure from the ongoing shift to mobile. Turning to slide 11 and major cost drivers. In Q2, we delivered non-GAAP operating margin of 25.2%, which is down 120 basis points versus last year, driven by increased investments in payments, marketing and Japan. As a reminder, our operating margin now includes the impact of buyer incentives in marketing expense due to the revenue accounting standards 606 adopted this year. Cost of revenue decreased year-over-year by 50 basis points, helped by efficiencies in our customer service organization. Q2 sales and marketing expense is up 170 basis points driven by promotional spending on our Marketplace platform, StubHub and the addition of our Japan acquisition. Product development costs were up 30 basis points as we continue to invest in our product experiences across all of our platforms, including building out managed payments. G&A was down year-over-year through operating leverage. Turning to EPS on slide 12. In Q2, we delivered $0.53 of non-GAAP EPS, up 17% versus prior year. EPS growth was driven by volume growth, the net benefit of share repurchases and a lower tax rate offset by our investments in managed payments, marketing and Japan. As we stated at the beginning of the year, our guidance range for tax was slightly wider than normal, driven by uncertainty on how all elements of U.S. Tax Reform would impact us. In Q2, we initiated actions to mitigate some of these elements and therefore refined our estimates, providing a net benefit to the quarter of $0.03, as well as a benefit to our go forward tax rate. GAAP EPS for the quarter was $0.64, up $0.61 versus the prior year, driven by the lapping of last year’s non-cash income tax charge of 311 million caused by the foreign exchange re-measurement of a deferred tax asset and three discrete items in this quarter. Let me give color on each of these. First, we took a disciplined look across our cost base and took action to create capacity to invest more marketing in the second half, while delivering on earnings growth. The reduction was completed in the second quarter, resulting in a pretax restructuring charge of $84 million. Second, as part of our acquisition in Japan, we relinquished our investment in Giosis’ non-Japanese businesses, recording a one-time gain of $266 million. Finally, we recognized a gain associated with the warrant agreement entered into with a service provider. As always you can a detailed reconciliation of GAAP to non-GAAP financial measures in our press release and earnings presentation. Moving to slide 13. In Q2, we generated $188 million of free cash flow, which was down 64% on a year-over-year basis, primarily driven by timing, differences of cash tax payments related to both U.S. Tax Reform and other international tax payments. CapEx was 7% of revenue. Turning to Slide 14. We ended the quarter with cash, cash equivalent, and non-equity investments of $8.6 billion. Our capital allocation strategy is designed to manage the capital structure in a way that optimizes our financial flexibility for organic opportunities and M&A, balanced against capital return to drive long-term shareholder value. In May, we completed the acquisition of Giosis’ Qoo10 platform in exchange for $306 million in cash and the previously mentioned relinquishment of our investment in Giosis’ non-Japanese business. We also announced the intention to sell our holdings in Flipkart and expect gross proceeds of approximately $1.1 billion. This transaction is expected to close in the second half of 2018, subject to regulatory approval. During Q2, as part of our ongoing commitment to provide meaningful returns for our shareholders, we repurchased $989 million of our stock. Since separation we have repurchased 281 million shares or approximately 23% to shares outstanding at an average price of $31.40 a share amounting to $8.8 billion in total. We ended the quarter with $5.7 billion of share repurchase authorization remaining. Before walking through guidance on slide 15, let me provide a little more context on how the stronger U.S. dollar will impact our full year results. As you know we have global business with nearly 60% of our revenue from markets outside the U.S. The U.S. dollar has strengthened versus our main international currencies by approximately 4% compared to what we guided in January. At current exchange rates, revenue is negatively impacted by approximately $150 million for the full year. Our earnings for the full year are largely protected from currency movements, but revenue will continue to be partially exposed if the dollar continues to strengthen. On an organic FX-Neutral basis, the mid-to-high-end of our guidance assumes Marketplace’s GMV acceleration will come from further scaling our new product experiences, including product based commerce and Guaranteed Delivery, while ensuring we invest more heavily in our marketing programs. For StubHub, while we do not guide by platform, we are not currently assuming any improvement in the trajectory of the market in the second half and we will also be lapping a particularly robust Q4 in the prior year. We are now projecting 2018 revenue between $10.75 billion and $10.85 billion growing 6% to 7% on an organic FX-Neutral basis and 8% to 9% on an as reported basis. We expect operating margin at the mid to low end of the 27% to 29% range for the year driven primarily by our Japan acquisition. We now expect our non-GAAP effective tax rate in the range of 17% to 20%. We continue to expect share repurchases of approximately $3.5 billion per year over 2018 and 2019. We are projecting non-GAAP EPS of $2.28 to $2.32 up 14% to 16% as reported versus last year. This includes the impact of topline growth, the ongoing benefit of our share repurchase program and a lower tax rate, partially offset by our investments in managed payments in Japan. We expect free cash flow towards the lower end of the $2.1 billion to $2.3 billion range driven by our Japan acquisition and foreign exchange, while the underlying cash flow dynamics of the company have not changed. This also includes to assume capital expenditures in the range of 6% to 8% of revenue. Full year GAAP EPS is projected to be $1.91 to $2.01 per share. Any gain from the sale of our holdings in Flipkart is currently not factored into our GAAP guidance. Turning to Q3 guidance on slide 16. We are projecting revenue between $2.64 billion and $2.69 billion growing 5% to 7% on an organic FX-Neutral basis and 6% to 8% on an as reported basis. We expect non-GAAP EPS of $0.54 to $0.56 per share representing 14% to 18% growth. For Q3, we expect GAAP EPS in the range of $0.37 to $0.41. In summary, we continue to execute our strategy and remain focused on improving the core eBay experience. We have made adjustments that enable us to continue to deliver strong earnings growth, while we scaled the new experiences and invest more in our marketing efforts. Looking ahead, we are on track for payments testing in the second half, which is a very significant opportunity to improve the customer experience and deliver significant economic benefit for our sellers and shareholders over time. Now, we’d be happy to answer your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Brian Nowak with Morgan Stanley.
Brian Nowak: Thanks for taking my question. Just to want to talk about sort of the back half and the new full year guide. Just want to talk to what gives you sort of confidence in the continued ability to reaccelerate GMV in the back half as the comps get somewhat easier? And how should we think about as you’re triangulating the acceleration in GMV with the lower revenue expectations for the year? Thanks.
Devin Wenig: Thanks Brian. I will let Scott talk about the translation of revenue, but let me just talk about the business drivers. So, there are really two significant drivers to the second half. The first is the product and customer experience, and the second is marketing. On the product, we have some significant product changes coming into the market some of which are already in the market performing well which we are going to scale. So I mentioned Guaranteed Delivery, already out scaling, performing well. Our new C2C selling flow delivering meaningful consumer selling conversion, scaling already out in the market. Structured data’s tentacles are now touching every part of the company and they’re making a meaningful impact in many areas. The one area that we still got to iterate is on the full product based prior experience, where as I mentioned in my remarks, we are seeing really good conversion from brand new buyers who come to eBay and we have some work to do on the existing base. So, on the product side, we have been working, as you know, at this for quite a while. We have driven improved acceleration and better operating results over time and we believe that that will continue in the second half. At the same time, because we are seeing good performance of new buyers that come to eBay, we want to bring more of them, and to do that we are going to continue to activate our marketing channels and market aggressively. We are responding to a competitive e-commerce landscape. We love our proposition. We think that when people come to eBay that they see what a great proposition we have. So you can expect us to light up our brand in the second half further. You can expect us to be active in all marketing channels and to plus that up along with the new product releases. So, all of that, obviously, helped us factor in to the guide on core acceleration. Scott can talk a little bit about the core GMV to revenue translation.
Scott Schenkel: Yeah. Brian, the way I would think about the translation from GMV to revenue is, it’s roughly the same. So when we talked about guidance for the year, we expected roughly 1 point of acceleration from our Marketplace’s business. And in the new guide, essentially, what we are saying is, at the high end we’d have 1 point of acceleration in the second half of the year and stable in the first half. And that would translate through in the form of revenue much, much the same way. I wouldn’t highlight any differences between GMV and revenue from a marketplace’s standpoint. We do have, as I called out, some pretty good lapping with the very strong quarter in Q4 from StubHub, that given their current trajectory and the market landscape is a pressure versus last time we spoke as well.
Brian Nowak: Okay. Great. Thanks.
Operator: Thank you. Our next question comes from Mark May with Citi.
Mark May: Thanks for taking my questions. From an outsider’s perspective, it appears that eBay ran more promos in Q2 than normal. Is that accurate? And if so, did you -- why did you do that? And what should we expect going forward? And then secondly, in terms of the reduction in force, can you maybe quantify that the impact on revenue and EPS in the second half of the year? Thanks.
Scott Schenkel: Sure. Mark let me take those. First off, on the marketing, yeah, I’d say, we spent more and I think the additional sales and marketing as a percentage of revenue highlighted that. Look, we are in a very competitive market and in e-commerce landscape that’s equally -- that’s really competitive. It’s important for us to adapt our approach as we try to remain competitive and drive traffic and activity you all saw was inventory. And so, we are increasingly focused, as we have talked about, in making sure that we are driving engagement and usage of the platform and whether that’s from increasing share of wallet with our existing buyers or attracting new buyers, and so the promotional activity is intended to do both of those. And while we are on the topic when you think about those incentives there is a wide variety of different incentives that you’ve seen both in the Kontron in the form of seller couponing, as well as buyer coupons, marketing expense, box boosters, et cetera. And we have been leveraging those promotions more heavily in recent times, and I think, we have been pretty clear and it’s been showing up in marketing as a percentage of revenue. And look I think you should expect and as implied in our guidance that that will continue and certainly the re-architecture of our cost base that we did in June was intended to enable that without having an impact to earnings. In terms of the actual EPS impact, what we are trying to architect on a GAAP, non-GAAP basis is that there is no impact to revenue and there is no impact to non-GAAP EPS from the restructuring that we did. However, we have enabled a significant amount of marketing incremental to our original plans to buffer the second half.
Devin Wenig: And let me just comment on that as well, which is it’s incredibly important to me that we are disciplined in our project approach that we are always allocating resource just towards the highest value customer projects that we experiment and when things don’t work, we reallocate, and we kill those projects. We do that always. In this case because we had at the top particularly of the technology organization, a significant reorganization with Steve moving to payments, it gave us an opportunity several years into this journey to take a deep look and to say, okay, we need to plus these things up and there are other areas that we just weren’t getting a return on them. So I think it’s really good discipline to stop projects that aren’t working and reallocate to projects that are where resource is fungible, we move it, but not all resource is and that’s what you saw us do in Q2.
Mark May: Thanks.
Operator: Thank you. Our next question comes from Ross Sandler with Barclays.
Ross Sandler: Hey, guys. I just had a question on the buyer growth rate and the units sold growth rates. So you’ve been doing promotions that you just mentioned and you recently launched the Best Price Guarantee program. So it seems like there was an interesting value prop that’s out there, but isn’t yet really translating into an increased amount of active buyers or it might be and we have an increased amount of buyer churns. So can you just walk us through kind of what’s going on with the kind of organic, I think, the last two quarters you added about one million new active buyers. And then how does that translate to the unit growth rate, which has been plus one last quarter and flat this quarter, any color there on units versus ASP will be helpful? Thanks.
Scott Schenkel: Ross, this is Scott. I would highlight that there is actually a couple underlying dynamics that we have called out in the past and that continue and will continue to pressure in a rolling 12-month metric for the time being. First off, as we kind of talked about, there is a fidget spinner dynamic that in Q2 of last year brought a lot of low ASP items that were a lot of new buyers as well and we have not retained those new buyers to the extent that we have in the past. They’re kind of one and done if you will buying those fidget spinners and they were very low ASP items. So, as we lap that that certainly makes it feel like the underlying growth rate is decelerating when in fact it’s more a one-off aspect of that. And that same thing is pressuring active buyers but now the other thing we talked about was we had been favoring higher ASP branded items in our search and as that has -- then that has kind of offset some of the ASP pressure or sorry some of the pressure that we got from the fidget spinners in the sole item number pushing ASP up a bit, but really sold items down. So hopefully that’s clear. But that’s the dynamic between those two both active buyers and sold items.
Operator: Our next question comes from Heath Terry with Goldman Sachs.
Heath Terry: Great. Thank you. I guess, Devin, just wanted to try and get some clarity on a couple of things. Can you outline for us some specifics on the marketing initiatives that you’re talking about that didn’t delivery in the first half and why you expect them to later this year? Were those all technology projects that you’re talking about or marketing programs? Just want to better understand what didn’t work and why it might go in forward? And then, specifically, towards the technology projects that you’re talking about cutting, I guess, where and how quickly do you expect to be able to reallocate those resources and those investments, what type of projects are at the top of your priority list these days?
Devin Wenig: On the second part of the question, I probably won’t get into specifics but we make a lot of bets and some of them are very long term bets and some of them are experiments and we have experimented with all kinds of new mediums of human to computer interface. We have experimented with just a lot of I think it’s very healthy for us to constantly experiment and have a portfolio of projects that are both near and far. And on some of the far ones we are continuing and some we are not. And again, I don’t want to get into a laundry list of small projects. But the overall reduction force was not very large and it reflects the fact that we stopped things that I think should have been stopped and that resource was not we allocable. On the question about the second half, like part of it, I think, Heath is things that it’s not that they didn’t deliver, but they’re taking longer than we probably would have hoped in January. So I look at where we have Guaranteed Delivery in C2C in the market and many of the tentacles of structured data. I am really pleased with what they’ve done but we have not been able to move them out of as fast as originally I would’ve hoped quite honestly. And in some ways that gives me confidence that we will get benefit from it we just need to move them out to and get more surface area. Another great example would be the brand. So on brand I am really happy that we are investing and we are sticking to investing in our brand. I think everybody that I have spoken to from our customers to our investors understands that we have an incredible brand, but one that can be easily misunderstood and it’s our job to close that perception gap. But brands take time and we -- when I look at the underlying metrics I said I think last call or the one before, what I am holding our brand spend accountable for is moving aided consideration and we are beginning to see aided consideration move. It hasn’t yet translated to our buyer growth number. I believe it will. But we have got to be persistent and run the company for the long-term and not shut it off because it didn’t make an impact this quarter. So there is an example of things that I think are both projects that we shutdown or projects that we believe will swing through and deliver for us in the second half and beyond.
Heath Terry: Great. Thank you, Devin.
Operator: Thank you. Our next question comes from Colin Sebastian with Robert Baird.
Colin Sebastian: Great. Thanks. Good afternoon. First off, based on the pending rollout of the payments beta, can we assume that the integration and testing with Adyen is on track? And then, secondly, if you have any comments on any notable differences in performance in markets outside of the U.S. internationally. Thank you.
Scott Schenkel: Yeah. Let me take on the payment strategy. As Devin mentioned, I think, the team has made great progress this quarter on executing the plans. And in fact, next week we expect to launch our employee beta. And then we will roll out from there and are working already with sellers who will be invited to the initial 5% phase with our new managed payments experience later this fall and we will actually be sharing some of those plans with our sellers at the eBay Open next week. International versus U.S. markets. Look, underlying excluding the addition of the Japanese business, our international markets were flat quarter over quarter at 6%. That kind of hides some underlying strength in a few of our larger markets offset by some weakness in some of our smaller markets. But in particular I’d call out Australia and the U.K., and some modest improvement in Germany where we feel pretty good about the underlying performance. But on the other side there is some weakness in other markets on aggregate we are flat. I don’t know, Devin, if you have anything else.
Devin Wenig: No. It might just be worth adding that one of the headwinds in the U.S. business was the export business this quarter, given the strengthening dollar. So we did see, as the dollar strengthened, U.S. exports came under pressure and that contributed to the 1 point decel in the U.S. business.
Colin Sebastian: Is it too early to say whether the eBay Plus program is helping Australia or is there something else in that market?
Devin Wenig: I think -- look, I think, it’s very early. But I would say, we are really pleased with where Australia is. It’s performing very well. We have a great customer proposition and we don’t see any change in trend. we are really pleased with Australia.
Colin Sebastian: Thank you.
Operator: Thank you. Our next question comes from Edward Yruma with KeyBanc Capital Market.
Edward Yruma: Hi. Thanks very much for taking my questions. I guess, first, you talked about a difference in behavior between new customers and existing customers, and that the existing base was less favorable. I guess, how do we think about your initiatives going forward to target that base? And then, second, obviously, you’ve talked a lot about this ramp up and marketing. How do we think about the balance between kind of brand marketing versus some of these targeted promos? Thanks.
Devin Wenig: On the first part, I think, so far we have done pretty well making substantial changes to the Marketplace without disrupting it. I got a lot of questions a year ago about why we weren’t moving faster and my answer was always, because we don’t -- we want to make it work for both new customers and existing customers, and many of the things we have done I believe have done that, but we -- when we -- not everything is that easy. And when you have a very large habituated marketplace and you’re making substantial changes to the user experience some of it takes time. And that time may be design challenges, its front end product challenges. I think we are on to a really powerful product experience that both simplifies eBay, but equally doesn’t mimic anyone else and it shows what we are great at, which is the spectrum of value, our incredible advantage in inventory and in prices for consumers, without necessarily having any commodity high velocity items, having them weight through hundreds of thousands of individual listings. That’s what we are trying to accomplish. You get a new buyer who is not habituated to a way of doing things and they love it. Existing buyers have take more time and we have to thread the needle about not disrupting their experience, but also bringing out about that trade-off of simplicity but differentiation. And we see pockets of it, but it does take time. And overall, I feel very good about it. I feel like we are absolutely on the right path and I feel confident that we are going to get the benefit out of that in particular that we have -- that we are expecting. What the second part of the question was on -- brand versus promo. You know what, the way look at it is, we spend an experiment in a variety of different ways to drive value in the Marketplace. For me value means what it says. I have often also said, you can buy growth it’s not that hard. There are plenty of companies out there that do it. We have always been disciplined in the way that we spent and we are always experimenting. So, yes, we do promos now. The market -- a couple of years ago we added strong deals program to the holiday. Why did we do that? We did it because consumers were demanding it. And what we found is if we do it the right way, we don’t just get growth in that holiday quarter, we get the CLD benefit of those customers. I’d say we are experimenting right now with these promos. We are experimenting with generating activity, bringing new customers in and then seeing what happens, and it’s kind of early to look at the cohort of customers that have come in through this promotional activity to know whether we will get the value. But that’s exactly why we are doing it. So that we can measure it and make sure that we are not destroying value but that we are adopting to the market, but also getting value out of every marketing dollar or promo dollar.
Edward Yruma: Great. Thank you.
Operator: Thank you. Our next question comes from Justin Post with Merrill Lynch.
Justin Post: Great. Thank you. Two questions. First, on StubHub, little light versus expectations, were there any customer changes or losses in the quarter, or is it really just the concert schedule, and is that set up for better next year? And then on the tax -- the lower taxes, is that also sustainable next year or is that something that’s just this year? Thanks.
Devin Wenig: I will handle StubHub, Scott will handle taxes. I don’t think anything changed with StubHub. You don’t have to look very far to look at the underlying event landscape in Q2. It was a historically bad MLB start of the season. Some of that caused by a historically high number of rainouts and it was a four game NBA series, it was a five game final series it was a five game hockey series. There were just a lot of things that broke the wrong way on the landscape and as we have said quarter-to-quarter, when you have high market share in the U.S. that -- it is what it is. It comes with the event landscape. So I don’t believe any change in the underlying dynamics. I think we just had a tough landscape. And as we said, right now we don’t see any particular reason to believe the landscape will get better in the second half, but to me StubHub’s underlying market position business position has not changed.
Scott Schenkel: Yeah. And the short answer is, yes, the tax rate that we booked year-to-date will continue as we head into the second half of the year and you can see that in the EPS walk that we provided. So roughly $0.03 this quarter, which is a catch up to the first half and then for the second half a roughly equivalent amount, so that upside will flow through and it will be ongoing.
Justin Post: Got it. And so ongoing does that mean 2019 as well?
Scott Schenkel: Yes.
Justin Post: Okay. Thank you.
Devin Wenig: Yeah.
Operator: Thank you. Our next question comes from Douglas Anmuth with JP Morgan.
Douglas Anmuth: Thanks for taking the questions. I had two. First, just Devin I was curious if you had any thoughts on tariffs and if that could potentially impact seller inventory on the platform or pricing? And then, second, if you could talk a little bit about the strategy in India post the Flipkart deal and going more cross-border and how we should think about the investment required there? Thanks.
Devin Wenig: Thanks Doug. On tariffs there is been zero impact to-date. All the tariff activity has been on raw materials commodities and agricultural products none of which directly impact us. But, obviously, we are watching it very carefully like every business is and at this point we don’t see any reason that it will pose a near term risk to our business, but you tell me what’s going to happen with the trade wars and I will let you know. But so far we are -- we have steered the business clear of anything that’s happened to-date. On India, so the first step will be when the Flipkart transaction closes. As you heard, Scott say, we will monetize our investment in Flipkart. Then the anticipation is that we will come back into the Indian market both through in import and an export strategy. We will start with export meaning Indian sellers selling on other marketplace platforms around the world that was something that we turned over to Flipkart. We are going to get that back upon the closing of the transaction. So we will light up the Indian seller base to sell across all of our major markets. And the second step will be the reintroduction of ebayindia.com. And I don’t yet have any timing on that, because we don’t -- we are not exactly sure when the Flipkart transaction’s going to close. But the idea would be to lead with exports and imports to lead with India with differentiated import inventory and from the moment the transaction closes to have the export business up and running. That’s our approach.
Douglas Anmuth: Okay. Thank you.
Operator: Thank you. Our next question comes from Mark Mahaney with RBC Capital Markets.
Mark Mahaney: Hey. Thanks. Two quick questions. One, you haven’t mentioned at all World Cup. Did that have any impact at all on your business? I hear that was popular with a lot of people. And then secondly that $50 million to $150 million reduction in Marketplace and StubHub revenue in the back half of the year? Is that kind of equally reduced from both areas more heavily from Marketplace or more heavily from StubHub, any breakdown there? Thank you.
Devin Wenig: I will take the World Cup. In the scheme of things, no. We saw an impact on every World Cup game saw a reduction in buying activity, but in the scheme of the size of our marketplace it’s not that meaningful. And we have got some StubHub GMS internationally out of World Cup. So I don’t -- I think it netted to basically it’s probably a small down but nothing that would have shown up or material. And Scott on the second part.
Scott Schenkel: Yeah. What was the second part of your question, I am sorry?
Mark Mahaney: That $50 million to $150 million reduction in…
Scott Schenkel: Yeah.
Mark Mahaney: If you can parse that out between those two places Marketplace and StubHub?
Scott Schenkel: Yeah. Roughly 75, 25, Marketplace and StubHub.
Mark Mahaney: Okay. Thank you very much.
Devin Wenig: Yeah.
Operator: Thank you. Our next question comes from Dan Salmon with BMO Capital Markets.
Dan Salmon: Hi, guys. Good afternoon. A couple of questions for me, I just want to return, not necessarily to Australia, specifically, but more eBay Plus. And Devin, just interested to hear what sort of traction you’ve seen for that specifically and where you think that program could go long-term, are there markets that it would fit appropriately, and that’s first. And then second, just the launch of the Highline, excuse m, the Highline Search Ad, I think it’s priced on a CPC basis. So I was just curious if it would be reported in marketing services revenue or in transaction revenue like promoted listings? Thanks.
Devin Wenig: Yeah. Good questions. On eBay Plus, so we now have eBay Plus in Germany and in Australia. And I am really pleased with the results. Now let’s keep in mind that the programs are slightly different based on where they are and I suspect that if eBay Plus moves out of those markets, they’ll change as well. I don’t -- in Australia, as an example, it’s not purely a shipping program. It’s also got a partnership with flybuys, which is a big national loyalty network for purchasing credit outside our network, to things like groceries and gas and other things. In Germany, it’s preferential access to deals and other benefits. So I -- right now, when I look at Australia that just introduced this, the uptake early -- it’s super early, but the uptake has well exceeded our expectations, we are very pleased with where that went. Including this week, where you saw a lot of global retail activity and we use the opportunity around Prime Day to market our propositions and we saw a great uptake of eBay Plus in Australia around this week, which I am really, really pleased with. Could eBay Plus move out? I think it could. We are obviously looking at that. I don’t think the proposition will equal the same thing everywhere. But I like the idea of a loyalty program that brings differential benefits to our most loyal customers and we will see where it goes from there, nothing to say at this point.
Selim Freiha: Hey, Dan. It’s Selim. On the Highline Search Ads, we just launched this. It’s an early beta. We are testing the -- I would consider the revenue from this at this point to be extremely immaterial and we are still evaluating how that will get treatment. As that becomes more material and relevant, we will update you on where that lands within the revenue, whether that’s transaction or MS&O.
Dan Salmon: Okay. Great. Thanks guys.
Operator: Thank you. Our next question comes from Brian Fitzgerald with Jefferies.
Brian Fitzgerald: Thanks. Maybe related to Dan’s questions, with the focus you’re putting on advertising, are you seeing the type of traction you anticipated there? What gates or levers are there that you can pull on to build momentum around advertising on eBay?
Devin Wenig: You’re talking about our advertising business, not us advertisers?
Brian Fitzgerald: That’s right. That’s correct. Yeah.
Devin Wenig: Look, I think that advertising along with payments, are two of the most significant mid-term opportunities that we have. And the one that I would point at most strongly is promoted listings first party advertising. It -- our growth trajectory is very strong, as you’ve heard on the last three or four earnings calls. And when I look at the ratio of first party advertising on eBay, compared to our GMV, I don’t -- I think we are not even in the first inning. There is a lot of runway to grow that business and we are putting a lot of muscle into growing it and I do believe that it is a meaningful revenue stream. I mean, you’ve heard from, Scott, it was meaningful this quarter, showing up in transaction revenue, and we are just getting started. So when I look out, not too long, but in the call it mid-term, you’ve got our core business that we are putting an intense amount of focus on that we are leaning into to accelerate. We are very focused on these two kind of let’s call it new mid-term opportunities, payments, which we have talked a lot about in the last two earnings calls and advertising, which are the over-the-top really exciting opportunities that we are investing in. And kind of that’s the way I look at the next period short-to mid-term playing out is keep improving the core, generate acceleration in the second half and invest in and get prepared for the over-the-top new opportunities in advertising and payments.
Selim Freiha: Operator, we will take one more question.
Operator: Thank you. Our final question comes from Thomas Forte with Davidson.
Thomas Forte: Great. Thanks for taking my question. You made a lot of improvements to improve your search results on Google and then they rolled out a new algorithm with kind of a mobile first emphasis, and you’ve also done a lot to improve the mobile experience on eBay. Just curious to see if any of the changes at Google had either positive impact on your results in the quarter?
Scott Schenkel: Well, the answer -- the -- look I don’t -- I never really talk about Google’s impact on us, but I will just say putting aside the impact to us, what we have seen consistently is that not all of our, let’s call it, SEO pages are built on structured data, we have been moving them aggressively. The ones that are have performed extremely well. The ones that are not have continued to be under pressure and that means that our job is to move it all and that’s what we are doing as fast as we can. But where we have built our SEO beachhead on our structured data footprint, we have continued to see improvements in ranking and traffic. And where we have not yet moved, we have continued over the last several years to see degradation. So the imperative is to keep moving it, keep going and get it all over as quickly as we can.
Thomas Forte: Thank you.
Operator: Ladies and gentlemen, thank you for participating in the question-and-answer portion of today’s call. I would now like to turn it back over to management for any closing remarks.
Selim Freiha: No. That’s it. You can go ahead and close the call. Thank you everybody.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program. You may all disconnect and have a wonderful day.